Operator: Good morning. My name is Ludy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Topaz Energy Corp. Fourth Quarter and 2025 Results Conference Call. [Operator Instructions] Thank you. Mr. Staples, you may begin your conference.
Marty Staples: Thank you, Ludy, and welcome, everyone, to our discussion of Topaz Energy Corp. results as at and for the period ended December 31, 2025. My name is Marty Staples, and I'm the President and CEO of Topaz. With me today is Cheree Stephenson, CFO and VP Finance. Before we get started, I refer you to the advisories on forward-looking statements contained in the news release as well as the advisories contained in the Topaz annual information form and within our MD&A available on SEDAR and our website. I also draw your attention to the material factors and assumptions in those advisories. We will start this morning by speaking to some of the recent and fourth quarter 2025 highlights. After these opening remarks, we will be open for questions. 2025 marked another year of impressive growth for Topaz, highlighted by a 17% increase to royalty production, 20% higher infrastructure revenue and a 10% increase to our year-end 2025 reserves. Topaz's fourth quarter royalty production averaged 23,400 boe per day and increased 15% from the prior year, which was driven by record oil and liquids production of 6,900 barrels per day in the quarter. Full year 2025 royalty production of 22,400 boe per day increased 17% over 2024, which was driven by 11% higher liquids production and 19% higher natural gas production. In 2025, we saw an estimated $2.8 billion of operated capital invested on our acreage, which led to a record 694 gross wells drilled, or 25.3 net, which is 10% higher than 2024 and represents a meaningful record 17% share of total Western Canadian Sedimentary Basin 2025 drilling activity. We also saw a 22% increase in total wells brought onstream in 2025 over 2024. This operator-funded development was demonstrated through our annual reserve report, which evaluates Topaz's proved developed producing and probable developed reserves before any future undeveloped locations Topaz's year-end 2025 total proved plus probable reserve of 55.7 million boe increased 10% from 2024 driven by 50% and 10% growth in the Clearwater and Northeast BC Montney. Operator-funded drilling extensions and improved recovery generated 11.9 million boe of additions, which replaced our 2025 royalty production volume of 8.2 million boe by a peer-leading 1.5x at no cost to Topaz. In the Clearwater specifically, operator-funded activity replaced royalty production by 3x in 2025. Over the past 2 years, we have seen our Clearwater reserve life index double as a result of waterflood performance that continues to enhance heavy oil recovery. During the quarter, drilling activity on our acreage remained strong as 190 gross wells, 6.8 net, were drilled and 17 gross wells were reactivated. In total, 248 gross wells were brought on production during Q4 2025, which represents a 7% increase over Q4 2024. Based on our operator drilling plans, we expect that the current 27 to 30 active drilling rigs on our royalty acreage will be maintained through the first quarter of 2026. In Q4, topaz generated royalty production revenue of $62.5 million, representing 72% of Topaz's total revenue with 28% or $24.2 million contributed by our infrastructure assets. Topaz generated fourth quarter cash flow of $80.6 million or $0.52 per share, 6% higher than Q4 2024, and free cash flow of $79.7 million or $0.52 per share, which increased 11% from Q4 2024. Our Q4 2025 net income of $32.7 million was 64% higher than Q4 2024 driven by 15% higher royalty production, 10% higher processing revenue and other income, 4% lower cash expenses and a 47% higher realized hedging gain. During 2025, Topaz realized a $19.8 million hedging gain driven by a $15.1 million natural gas hedging gain equivalent to $0.44 per Mcf. Topaz distributed $52.4 million of dividends at $0.34 per share during the quarter, which represented a 65% payout ratio and a 5.1% trailing annualized yield to the fourth quarter average share price. Through the full year, topaz paid $207.7 million in dividends at a 66% payout ratio, which represents a 4% increase on a per share basis over 2024. Since our inaugural dividend during the first quarter of 2020, Topaz has paid $6.62 per share in dividends. We have announced our 2026 guidance estimates of 23,500 to 23,900 boe per day of average royalty production and $92 million to $94 million of processing revenue and other income. Topaz expects to exit 2026 with net debt-to-EBITDA of 1.2x and generate a 68% payout ratio, which remains sustainable through the end of 2026 at $0 AECO and USD 55 WTI attributed to the fixed revenue provided by our infrastructure portfolio and hedging contracts in place, which are available in our most recently filed MD&A, as well as the quality and strength of our diversified asset portfolio. At this time, we're pleased to answer any questions. Back to you, operator.
Operator: [Operator Instructions] Your first question comes from the line of Jeremy McCrea with BMO Capital Markets.
Jeremy McCrea: Marty, quick questions here on M&A. Can you describe what the market looks like now versus where it has been in the last couple of years? And why -- like part of your growth has been through M&A, and what makes you confident that you could see a lot of deals potentially this year? And just kind of a bit of a follow-up here. Where do you think those deals may occur actually?
Marty Staples: Yes. Jeremy, thank you for the question. I think like most years, it seems like it starts out fairly soft until the quarters get done. People understand what maybe their budgets might look like. We did complete a deal in the latter part of December in 2025, smaller deal, $8 million on a fee royalty acquisition. Have seen some leasing on that acquisition already so we're pretty confident that there's probably more to do there. It was about 30,000 acres of land kind of right in the heart of the Duvernay play. Overall, we're very proactive on deals right now. I think what kind of we see into Q1, Q2 is probably some reactive ideas where maybe some bank-led processes start to kind of appear. And so overall, I think we're going to continue to be active this year. On most years, we look at about $2 billion in opportunities. We've been very active already in 2026 looking at some different opportunities. And we're fairly agnostic to whether it's infrastructure or royalty opportunities. I think the win for us has been a combination of both of them. So we'll continue to look where we can be useful. And if we see some capital cuts start to happen into Q1, we think that there's probably some opportunity on the infrastructure side. But like I said, we're open to either sides of those M&A opportunities.
Operator: [Operator Instructions] We do have our next question coming from the line of Jamie Kubik with CIBC.
James Kubik: Can you just talk a little bit about the reserves and the changes that you saw this year? How much more is there left to be booked on the waterflood improvements in the Clearwater? And how much was, I guess, derived from just delineation in that play? Can you just talk about some of the shifts on that side, Marty?
Cheree Stephenson: Jamie, it's Cheree. I'll take this one. Marty can chime in. But we definitely saw some significant bookings. We do think that within the Clearwater specifically, there was some catch-up from prior as the reserve evaluators really now have enough years of data in order to sort of acknowledge and back up the waterflood results. I wouldn't say they booked what they're seeing in full effect. There's still some room for further adds and reflection of the results to date. But we were definitely pleased with the recognition and the performance of the assets. Obviously, our reserve report is a bit limited as it does not include undeveloped future locations. So we don't get the full effect of what's going on with the waterflood. But we do believe there is incremental value attributed to what's been done to date for future years. And we do see the operators continuing to extend more and more of their budgets into the waterflood because it's working as we expect to see, maybe not quite this type of effect, that 50% increase within our Clearwater reserves next year, but definitely something that's in excess and positive. As a takeaway, when we think of our reserve book and the reserve replacement we were able to achieve this year, it was about 1.5x on the entire portfolio. Within Clearwater specifically, it was at 3x reserve replacement. And over the last 2 years, we've seen a doubling of the reserve life index. So 3 years went to 6 years. And remember, again, that's just the developed wedge of the reserves.
Marty Staples: If you think about our two main operators, Headwater and Tamarack, coming out with some very positive revisions to, I would say, the 2P numbers in excess of 50% on both of them, it really paints a nice road map for us for the future. And so I think you saw Headwater around 52% on a 2P reserve uptick. And then this morning, Tamarack came out with 56%, replacing 534% of production. That looks really positive for Topaz. And so we're excited to see those results and get an indication of what the future brings for our future bookings.
Operator: [Operator Instructions] And we currently have no further questions at this time. I would like to turn it back to Mr. Staples for closing remarks.
Marty Staples: Thanks, everyone. Great 2025. And look forward to chatting with you on the Q1 call in May. Take care.
Operator: Thank you, presenters. And ladies and gentlemen, this now concludes today's conference call. Thank you all for joining. You may now disconnect.